Operator: Good day. And welcome to the Ameris Bancorp Fourth Quarter 2019 Financial Results Conference Call [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Nicole Stokes, Chief Financial Officer. Please go ahead.
Nicole Stokes: Thank you, Sara. And thank you to all who have joined our call today. During the call, we will be referencing the press release and the financial highlights that are available on the Investor Relations section of our Web site at amerisbank.com. I'm joined today by Palmer Proctor, our CEO and Jon Edwards, our Chief Credit Officer. Palmer will begin with some opening general comments and then I will discuss the details of our financial results before we open up for Q&A. Before we begin, I'll remind you that our comments may include forward-looking statements. These statements are subject to risks and uncertainties. The actual results could vary materially. We list some of the factors that might cause results to differ in our press release and in our SEC filings which are available on our Web site. We do not assume any obligation to update any forward-looking statements as a result of new information, early developments or otherwise, except as required by law. Also during the call, we will discuss certain non-GAAP financial measures in reference to the company's performance. You can see our reconciliation of these measures and GAAP financial measures in the appendix to our presentation. And with that, I will turn it over to Palmer for opening comments.
Palmer Proctor: Thank you, Nicole. And thank you to everybody who's joined our call this morning. I'm excited to share a few highlights about the quarter and the year and then I'd like to spend some time discussing the plan and opportunities we have going into 2020. For the quarter, we earned $66.6 million or $0.96 per diluted share on an adjusted basis, and this represents 1.47% return on average assets and an 18.45% return on tangible equity. As expected, our efficiency ratio improved this quarter to 56.61%, as we continue to realize our cost saves from the Fidelity acquisition. And for the year 2019, we earned $222.9 million or $3.80 per diluted share on an adjusted basis, and this is up 12% over 2018. This represents a year-to-date return on assets of 1.52%, and an improvement from the 1.50% reported last year. I'm also pleased to report that our efficiency ratio improved during the year from 56.19% last year to 55.67% this year. On our third quarter call, I reviewed what we said we were going to do when we announced the Ameris and Fidelity merger, and how we were tracking with those plans. And I'm pleased to say that we continue to be on track with the plans. The core data conversion, as many of you know, is completed in November as planned. As any conversion, we certainly identified some things we can do better next time. But overall, the conversion went very well. We also close two additional branches in the fourth quarter, bringing the total branches closed to 29. We've had very little to no attrition of core deposits from these closures. And one final example I want to share on how close we are to the stated plan as we've previously guided that we expected double-digit growth in tangible book value in 2019, and that's even with the Fidelity delusion. And our actual growth and tangible book value was 10.5% for the year. At announcement, we had modeled our tangible book value would be right at $20.80. And at the end the year, we came in at $20.81, which was exactly in line projections. And this is quite an accomplishment and we remain focused on that tangible book growth. Now I would like to turn our attention to the current plan. We recently spent several days with our Board of Directors on our strategic planning, and I'd say we all walked away extremely energized about the future. When you look at the markets we operate in, we have critical mass and we've got tremendous opportunity. In many of our markets, as you know, are high-growth areas with estimated growth rates of anywhere from 9% to 11%, such as Atlanta, Orlando, Jacksonville, Columbia and of course, the list goes on. But yet, we still have the stability and the core strength of our non-metro stable markets as well. Everyone keeps talking about the disruption and how they're going to capitalize on it. And while we remain optimistic in our markets, we also are fully aware that we are in control of our own destiny. We continue to look for recruit top talent, but also have the luxury of knowing that we can be successful in 2020 with our current 18 that we have in place. So our focus remains for the execution of our organic growth strategy without distraction of M&A at this time, and that focus really includes four core strategies; first one being for deposit funding, second is asset quality, third is operating efficiencies and last but not least is growth in the tangible book value. And these are all strategies that will continue to drive shareholder value for the company. I will stop there and turn over to Nicole to discuss our financial results in more detail.
Nicole Stokes: Thank you, Palmer. As you mentioned, we're reporting adjusted earnings of $66.6 million or $0.96 per share for the fourth quarter compared to $45.9 million or $0.96 for the fourth quarter of last year. These adjusted results primarily exclude the merger charges, the lawsuit on the sale of branch building, a partial reversal of the gain on BOLI, MSR impairment and expenses related to the government investigations that we announced in the fourth quarter. Including these items, we're reporting GAAP earnings of $51.2 million or $0.88 per share. The $66 million of adjusted net income represents the 45% increase over the fourth quarter of last year and the $0.96 per share EPS is consistent with what we reported last year. Our adjusted return on assets in the fourth quarter was 1.47, which was a slight decrease from the 1.57 reported last quarter, and the 1.61 reported in the fourth quarter of last year. Our return on asset was negatively impacted during this quarter by elevated loans held for sale balances as we integrated our mortgage delivery team and we had record production levels. For the full year 2019, our adjusted ROA was 1.52 compared to 1.50 last year. Our adjusted return on tangible common equity was 18.45 in the fourth quarter of '19 compared to 18.95 last quarter and 20.95 in the fourth quarter of last year. For the full year, our 2019 adjusted return on tangible common equity is 18.74 compared 19.18 last year. As Palmer mentioned, we remain focused on tangible book value. For the quarter, we saw an increase in tangible of $0.52 to end the quarter at $20.81. Ironically, this is the exact tangible book value per share that we had at June 30, 2019, the day before the Fidelity acquisition. For the full year of 2019, we had over 10% increase in tangible book value, up $1.98 per share from the 18.83 at the end of last year to 20.81 at the end of this year. We're pleased with this increase in tangible book value, considering it absorbed Fidelity, as well as the repurchase of about $18.5 million of stock during the year. During the fourth quarter, our net interest margin increased by 2 basis points from 3.84 to 3.86. This increase in mostly due to additional accretion income during the quarter related to the work out of a problem that had a large discount attached to it, and also early payoff from acquisitions. I don't think the future accretion income will be as high as the fourth quarter, and I think it will normalize in 2020 to about an average of $3 million per quarter. Also in the fourth quarter, the elevated mortgage loans held for sale negatively impacted our margin by $0.08 basis points. I know I said in the last quarter that we expected to shrink that during the fourth quarter. But based on production, it actually increased. Basically, our mortgage group refilled the bucket faster they were selling. I don’t want to sound like a broken record, but we are monitoring that level daily and we have failed currently tending bring that balance down by the middle of the first quarter. I believe the ongoing balance going more to be closer to the $900 million range. I had previously guided that in the $500 million to $600 million range. But I think with the two mortgages companies coming together and our elevated level of production, we'll stay in that $900 million range going forward. During the fourth quarter, our yield on earning assets declined by 4 basis points, while interest bearing deposits and total funding costs both decreased by 10 basis points. And for the year-to-date, our margin declined 4 basis points from 3.92% to 3.88% even with three fed cuts throughout the year. And during the year, our yield on earning assets increased by 17 basis points, while our funding cost increased by 34 basis points. Non-interest income grew over 80% from the fourth quarter of '18 to the fourth quarter of '19. The increase in service charge income due to additional deposit account for Fidelity was partially offset by the Durbin impact. And our mortgages revenue grew over 179% this quarter compared to fourth quarter last year. Mortgage production was strong in the fourth quarter at $1.6 billion compared to $414 million fourth quarter last year. We saw a slight decline in the gain on sale percentage, and we anticipate that will return to higher levels in 2020 as we continue to manage product mix and pricing model between Fidelity and Ameris. Our adjusted efficiency ratio improved to 65.6 in the quarter from 57.25 last quarter. And for the full year 2019, our adjusted efficiency ratio improved from 56.19 to 65.67. We completed, as Palmer said, the core system converts in November, and we anticipate the realization of all cost saves by the end of the first quarter 2020 as we still had some administrative costs overhanging in the fourth quarter numbers. However, some of these costs in the first quarter will be offset by typical first quarter cyclicality, such as the increased payroll taxes that we will see in first quarter. Total noninterest expenses were $122.6 million for the quarter. However, when you remove the management adjusted, such as the merger conversion charges that were already mentioned, our adjusted noninterest expenses totaled $118.3 million, down $8.5 million from the third quarter. Approximately half of that decrease was in the core bank administrative functions, while the other half was in the mortgages line of business, notably in salaries and commissions. On the balance sheet side, we ended the year with total assets of $18.2 billion compared to $17.8 billion last quarter and $11.4 billion last year. We were pleased with our organic growth, both on the loan and deposit front. Excluding the Fidelity acquisition, organic loan growth was $751 million or 9.16% for the year. Organic loan growth this quarter slowed mostly due to seasonality and the continued repositioning of various portfolios. Total loan production in the bank was actually $1.1 billion, up over 81% from the fourth quarter last year. Yields were down on new production, which was expected in recent fed cuts. On the deposit side, we continued the momentum on noninterest bearing deposits and improved our mix so that noninterest bearing deposits now represent 29.94% of total deposits compared to 26.12% a year ago. And for the full year of 2019, our noninterest bearing deposit growth was just over 15% as our bankers continue to be focused on core deposit growth to fund overall bank growth. At the end of 2019, our loan to deposit ratio was 91% compared to 94% at the end of the third quarter and 88% at the end of last year. And credit quality remained strong. As you'll recall from our last call, we saw a slight dump in NPA due to the Fidelity acquisitions during the third quarter. Our team was able to liquidate a significant portion of G&A that caused that bump. So we are pleased to report that our nonperforming assets as a percentage of total assets decreased 17 basis points, down to 56 basis points at the end of the year. This compares to 73 basis points last quarter and 55 basis points this time last year. For the quarter, our annualized net charge-off ratio was 9 basis points to total loans, 17 basis points to non purchase loans. For the full year of 2019, our annualized net charge-off ratio was 10 basis points of total loans and 15 basis points of non-purchase loans compared to 18 basis points of total loans last year and 27 basis points of non-purchase loans. With that -- that was a lot of numbers. With that, I will turn the call back over to Palmer.
Palmer Proctor: Great. Thank you, Nicole. As said in the earnings release and I'll mention it again here, we went through a tremendous amount of change this year, including the largest conversion and integration in our company's history and executed on our plan and delivered these types of financial results while having the distraction of everything that happened this year is quite an accomplishment, and I couldn't be more proud of our team. From the support staff to our customer facing teammates, these results are truly a group effort of the new combined Ameris team. And as we look forward into 2020, we remain optimistic about the opportunities for growth and especially in the diversified line of business that we have. However, that being said, we do operate in a very competitive market and will not compromise asset quality for the sake of growth. So I'll close with this message again, is that you will see Ameris continue to become more and more active but not more aggressive. I'd like to thank everyone for listening to our fourth quarter earnings results, and we look forward to 2020. Now, I'll turn it back over to Sarah for any questions from the group.
Operator: [Operator Instructions] Our first question comes from Tyler Stafford with Stephens.
Tyler Stafford: I hopped on a couple minutes late, so I apologize if you covered this in the prepared comments. But Nicole just, I did here the outlook about the held for sale balances coming back down towards around $900 million. So my question is, one, how quickly do you think you will get back towards that level? Is that happened in the first quarter? And then just in terms of the held for investment growth expectations for the year. Can you guys comment on what you are expecting there?
Nicole Stokes: First, I'll talk about the mortgage loans held for sale. So we had sales in progress today so that we anticipate that will come down by the end of the first quarter. And I realized that I said that at the end of the third quarter that we had allocated some additional resources to make sure that that does happen in the first quarter. And like I said, we are monitoring that daily. We're still funding that with short-term FHLB advancements. So as soon as that comes down, the FHLB advances can go back to normal levels as well. And I don't know, just to reiterate that that was about an 8 basis point decrease on the margin in the fourth quarter having those lines go up instead of down. And then your second question was on loan growth, and I think this goes a little bit to what Palmer has alluded to is that we are going to become more active but not more aggressive, and that we are very cognizant of credit quality. So as we see things in the market changing, we will react accordingly. So I think in the past, we have guided loan growth in the 79%. I think that will soften a little bit and could come more in the 5% to 7%. I think all of our analysts are close to that 7%, but I definitely think that that could come down a little bit from the 79 that I previously guided, would be closer in the, let me say 5% to 7%, 6% to 7%.
Tyler Stafford: And just be clear, Nicole, is that 5% to 7% solely for held for investment growth is or is that in the totality point-to-point total loan growth, which includes the runoff or the declines in held for sale?
Nicole Stokes: No, that is just the held for investment.
Tyler Stafford: So with that I guess reversion on the held for sale balances by the end of the first quarter. Can you just talk about the kind of margin expectations, given continued -- if there's you know continued funding cost relief with you guys were funding that held for investment I think with FHLB advances, so I assume those are going to come down and then the held for sale balances will come down. So just lots of kind of moving pieces there. Can you just give us a little bit of color on where you see the margin from here?
Nicole Stokes: Sure, I think that's a great question and you said that very well. So you've got several components. So we've got the mortgage loans held for sale piece, as that comes down and the FHLB borrowings come down. Again, that was 8 basis points in the fourth quarter, assuming that we get that for at least half the quarter. So I think that could be a 3 to 4 basis points tick up in the in the first quarter based on when I think that balance is going to normalize in the first quarter. Again, that's on -- and we were talking about GAAP margin. And I don't necessarily focus on the margin excluding accretion, just because that's a non-GAAP measure. But when you look at our GAAP margin this quarter that went up 2 basis points, we did have that elevated accretion in the quarter that we also had the loan for sale hit, so the net of those two with the positive two. When you look at our margin, excluding accretion that fell during the quarter by 11 basis points, but that did not have the accretion pick up, but it only had the held-for-sale pick up or decline. So our margin excluding accretion could potentially increase next quarter, because that accretion bump is already out of that number, but we will have the pick-up from held-for-sale. When we look at our balance sheet, we really do have especially if the fed hold with no additional rates, we are very much asset neutral in both the short-term and the long-term. We actually have some positive momentum coming in on the deposit side. We were pleased with our reduction in rates there. But to give you an example, we have about 62% of our upcoming CDs that are maturing, are greater than wholesale funding cost today. And just to give you an update on December, as an example, our CD production in December. So our maturing CDs that rolled into new CDs, they averaged 56 basis point decline in those CDs. So that is, when you think about fourth quarter, really we have absorbed two fed cuts. We absorbed the September rate cut and the December, because September was the rate and then also the December. So to be able to say that our December CDs repriced 56 basis points that's greater than 100% beta on those repricing for CDs, which we were very pleased with. That was probably too many details but that just kind of gives you color on the momentum that we have going in.
Tyler Stafford: So maybe just to summarize, the margin excluding the accretion as we head into 2020, should have a few basis points of upward movement given the lower held-for-sale balances. Is the few basis points of tailwind the right kind of way to think about that for the first quarter?
Nicole Stokes: That's exactly right, for the net interest margin excluding accretion. And then our GAAP margin, I anticipate being fairly consistent.
Operator: Our next question comes from Casey Whitmen with Piper Sandler. Please go ahead.
Casey Whitmen: Just I guess first I'd touch on capital. So you bought back a small amount of shares in the quarter. But maybe just update us on your thoughts around capital management here and the use of buybacks as we think about 2020?
Nicole Stokes: Sure. So, I'll start by that we did -- in September our Board released another $100 million of stock buyback. And we realized that we are seeing here saying that we are very cognizant of tangible book value and we want to preserve capital at this point. And so, it's not buyback, it's little bit counter intuitive to that, but I think we will be opportunistic. We like having that in our tool belt. I don't think that we will go out if we have $100 million approved our plan is not to go out and buy $25 million a quarter. But if we can buy a little bit each quarter bring back us a little bit of shares, but be able to absorb that tangible book value along the way that's kind of what we're doing. Again, it's not our number one strategy, but we will be opportunistic if the opportunity comes up to buy stock to 6 million shares a quarter -- dollars worth a quarter.
Casey Whitmen: And then just think about expenses. I guess the first would be, are there more like onetime costs to come between additional merger charges, sale of bank promises, anything like that that you expect going forward? Or is it pretty clean kind of run rate going forward here?
Nicole Stokes: We feel like it's a clean run rate going forward. The only thing that we still -- as we look at what we adjusted for management, adjusted the things that will go forward. Unfortunately, the government investigations, legal fees concerning that will continue to be there, and then also the branch sales. I mean, if we have empty branch buildings and we have an opportunity to sell that we have current appraisals on all those and we feel like they're valued correctly. But you've always had the opportunity that if one came along and we had a sale -- I mean a loss on that. But as far as merger and acquisition, we feel like all of that is behind us. We've got all of that accrued and recorded in 2019.
Casey Whitmen: And then just to be clear on just the remaining cost saves coming out. Are those coming out of the bank segment, mortgages segment or kind of a combination of both?
Nicole Stokes: It's a combination of both. We have still I would say of what's left. We have got -- it's probably split 70/30 in kind of what I'd say lines of business being, whether that's mortgage and then the other 30%. Well actually, I link that back and looking at the numbers, its closer to 60/40, 60 in mortgage and 40 in administrative and bank side.
Casey Whitman: I guess and then just one last question I'll ask on credit. Do you guys have a preliminary estimate for the loan loss adjustment for CECL, or any kind of commentary around what the day-two impact might be on provisioning levels?
Nicole Stokes: Sure. We actually have got, we're working on the disclosures for the 10-K, so that will be much more robust. So I'm going to be a little bit hesitant until we get all of that out in 10-K in just a few weeks. But we have all of our day-one, day-two entries. So we have a lower boundary and upper boundary. And our lower boundary and we're going to give a range, it's about $30 million range that will put it into 10-K. And that range, the lower range of that is very, very close to what we've said all along being our total allowance plus our total discounts. However, there's a portion of those discounts that are not on PCI, PCD loans. So that will continue into our accretion and that rolls into that $3 million accretion number I gave. So there will be a day one entry to retained earnings for the portion of going into the CECL allowance that was not in our discounts. Just to give, I will say on our unfunded commitments that's a new component for CECL, that range we believe is $12 million to $17 million and that was not covered in our allowance or our discounts previously, so that is definitely a day-one. And then we also have an additional that will come in as well in the first quarter, but we believe that the total adjustment, we know that the total adjustment in the first quarter is in line with our expectations, and will be absorbed by earnings in the first quarter. So we shouldn't see capital go down at the end of the first quarter like some banks might.
Operator: Our next question comes from Brady Gailey with KBW.
Brady Gailey: So when we're talking about 5% to 7% loan growth just held for investment loans. Does that include the impact of continued shrinkage of the indirect auto book?
Nicole Stokes: It does. That 5 to 7 is net of that.
Brady Gailey : And then looking at mortgage fees, and I know fourth quarter is a seasonally soft quarter for mortgage. But we've seen some mortgage peers have relatively good mortgage quarters this quarter. Looking at your mortgage fees, they were down about 37% linked quarter on annualized. Was there anything -- is there anything to note that would be included in those mortgage fees? I thought they would come a little better. So is there anything one time or anything to know within that mortgage fee line?
Nicole Stokes: No, I think it's actually that the third quarter was such an anomaly. The third quarter was very, very high for us. I mean, it was higher than we had projected with the Ameris and the Fidelity combined. And so I think fourth quarter was in line. I know that there was an article that there's another bank that picked up some of our mortgage bankers. And I think I have that number right in front of me of what our Florida production was, but there was not a decline in our Florida production. When you look at production and the mortgage, our overall -- I most of this also, well, I'm jumping around with it, I don't need to do that. So fourth -- third quarter, our production was $1.8 billion and our fourth quarter production was $1.6 billion. So that's a very small decline and a lot of that is just with normal fourth quarter of cyclicality. Our gain on sale percentage dropped from about 7 basis points, so that accounted for some of that. And like I said we anticipate that that going backup as we kind of work through some of the product mix and the pricing.
Palmer Proctor: Brady, more specifically your question -- mortgage still extremely robust for us and the Florida production this month was a record high. In fact, we did more volume this month and for this quarter in Florida than we have historically in Florida with the exit of several of those operations folks and a few of the originators. So we feel good about production. And if you look more importantly, one of the things we've always focused on and pride ourselves on is the purchased originations. And if you compare last year's purchase origination volume fourth quarter to this year, it's almost triple. So that kind of gives you an idea of the magnitude of the volume that we've been able to generate, especially when you combine two largest mortgage operations. So Robert Odom and his team have done an excellent job of doing just that.
Brady Gailey : And then finally for me, Palmer, I hear you on the M&A pause. We have seen several notable southern merger of equals, and so it's not the traditional one bank buying another but kind of an MOE style deal. Is that -- when you say in M&A pause, are you more talking about, you guys just continuing to buy other banks, or would you consider some sort of big picture strategic MOE with a life-size bank at this point?
Palmer Proctor: Well, I think we've been pretty consistent in our response there. Our focus remains on the organic opportunities we've got in these incredible market were blessed to be in. So we just don't need that stretch right now, we did in the Fidelity acquisition fully integrated. We've got all of our right people in the right seats, and there is just tremendous opportunity here and we just don't be any distract from the M&A right now. And that’s very consistent with the four to six quarters that we had said from the inception. So nothing's changed there.
Operator: Our next question comes from Jennifer Demba with SunTrust. Please go ahead.
Jennifer Demba: Nicole, question on expenses. You said obviously there's seasonality in first quarter every year, but you will realize the rest of your cost savings from LION. So as a result, do you think expenses will be flat sequentially between fourth and first quarter?
Nicole Stokes: I don't. I think there is still room for a slight decline from the fourth quarter of this year to the first quarter of next year. I do think it will be a slight decline as we continue to have. Like I said, we had some administrative overhang. So even though conversion was November 1, we held a lot of employees, retained a lot of employees to make sure that that was all clear before they were displaced. And so we do anticipate, but I just wanted to warn everybody, we always, seems like every first quarter, there is always, you’ve got payroll taxes and some various other things that increase. One thing I wanted to -- maybe will help, when we were looking back and kind of going through some of our budgeting and strategic planning. When you look at Ameris and Fidelity combined from 2018 to the 2020 expectations, our noninterest expense is about 6% to 7% increase but our revenue growth is greater than 15%. And I think that’s really where we are working really hard to make sure that we execute on all of those cost saves and that we continue to drive revenue, but there are a little -- there are few other projects that will help efficiencies where we're reallocating some resource. And so we're definitely working to keep that efficiency ratio in the 54 range to continue to drive that down below 54.
Jennifer Demba: And I have to hop on few minutes late. Can you talk about any merger disruption opportunities you guys have been to capitalize on thus far?
Palmer Proctor: Yes, we remain, Jennifer, focused on the customers side of that equation. Obviously, we continue to look in our view for opportunities with talent. But as I mentioned earlier, we were just fortunate to already have boots on the ground and talent in place to capitalize from the customer side. So a lot of the growth you're seeing, we've had some really good success on the core deposit funding side from the disruption, and the loan side remains extremely competitive, but we are getting a lot of look to yield some or probably a little too rich for us in terms of pricing. But those opportunities I think will continue to exist as we move forward with the disruption in the margin. And did hired just -- this quarter we did have -- we focused the new hires we've had on the lending side, and have been predominantly on the C&I side and there are couple down in Florida, and then we got two or three in Georgia that we hired this quarter.
Operator: [Operator Instructions] Our next question comes from David Feaster with Raymond James. Please go ahead.
David Feaster: Just a quick one, following up on the seasonal expenses. Could you quantify with the FICA and the payroll taxes are just kind of on a combined basis, the expectations for the first quarter?
Nicole Stokes: Give me one second, maybe I should sing and dance. And I don't have it right in front of me, but I will have it in just…
David Feaster: But I guess if there's an FDIC credit if you guys have any remaining, and when you expect that to normalize? 
Nicole Stokes: We do have a little bit remaining and we'll leave that in the first quarter and so, you'll see that bump come in the first quarter as well. That is another thing that will come up.
David Feaster: I guess just, I'll add something on the hiring front. Have you seen any change in the tone of conversations, in the pace of conversations? Anecdotally, I've heard that things that might have picked up now that some of the deals have closed, and I guess just what are your expectations for new hires in 2020?
Palmer Proctor: Well, I'll tell you our expectations are probably different than others in terms of our dependencies. We have less of a dependency on having to hire lenders as many others did that are new entrants into the market, just because as I mentioned earlier, we've got so many people already in place to take advantage of the opportunity. But I do think, to your point, there is some acceleration in discussions, a lot of these payouts with the larger disruption meaning the [trusted], those are February and March. And so I think you'll start seeing some movement first quarter there, into the first quarter. And that's when things that they can start to shift a little bit more. But right now the main thing, we've got our existing team focused on are the customer opportunities in addition, obviously, looking for new talent. But I think that shifts will continue to accelerate on this quarter.
Nicole Stokes: And David, that payroll tax is a little shy of $2 million.
David Feaster: And then just kind of -- we talked about it briefly. But credit has been very benign for you all. But I'd be interested to hear your thoughts on credit, whether you're seeing anything in the market that's causing you any concern, either in Florida or Atlanta and just kind of the competitive landscapes in your market?
Palmer Proctor: The market is still pretty robust in general, especially in our four-state footprint. And there are really very few lending opportunities that we are really looking at right now. But the competitiveness, as Palmer put it, we were more active and not more aggressive. So the competitiveness of the landscape is maybe on the more aggressive side and we've had to kind of really look hard at that. But from a market perspective, there's plenty of new investment going on, there's plenty of new growth, there's plenty of new folks coming in. So the markets still remain pretty robust.
David Feaster: Are there any specific segments where you're seeing that aggressiveness? And do you see it more in Florida or Atlanta, and I guess from whom? Is it the big guys or nonbank lenders?
Palmer Proctor: I think you have to kind of define what the aggressiveness is. I mean, it's pricing that's consistent throughout the markets in which we operate. And a lot of that is because we are in some very competitive markets. From an asset quality standpoint, most of the banks have been pretty disciplined from what we've seen out there. Where you start tinkering with structure, though, in terms of amortization or read nonrecourse that's where we're starting to see a little more pick-up on deals that we did not see in the past. But in terms of cash flow and operations and solid sponsors that seems to be pretty consistent throughout. I'm not seeing large or small banks kind of get too aggressive on that front, mainly in restructuring terms.
Operator: This concludes our question-and-answer session, and the conference is also now concluded. Thank you for attending today's presentation. You may now disconnect.